Operator: Good day, and welcome to the InterDigital Fourth Quarter 2015 Earnings Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Patrick Van de Wille. Please go ahead, sir.
Patrick Van de Wille: Thank you very much. Good morning, everyone, and welcome InterDigital fourth quarter and full year 2015 earnings conference call. With me this morning are Bill Merritt, our President and CEO; and Rich Brezski, our CFO. Consistent with last quarter's call, we will offer some highlights about the quarter and the Company and then open the call up for questions. Before we begin our remarks, I need to remind you that in this call, we will make forward-looking statements regarding our current beliefs, plans and expectations, which are not guarantees of future performance and are subject to risks and uncertainties that could cause actual results and events to differ materially from results and events contemplated by such forward-looking statements. These risks and uncertainties include those set forth in our earnings release published this morning and as well as those detailed in our Annual Report on Form 10-K for the year ended December 31, 2015 also filed this morning, and from time-to-time in our other filings with the Securities and Exchange Commission. These forward-looking statements are made only as of the date hereof, and except as required by law, we undertake no obligation to update or revise any of them whether as a result of new information, future events or otherwise. In addition, today's presentation may contain references to non-GAAP financial measures, such as free cash flow, pro forma operating expenses and non-GAAP net income. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures are including our fourth quarter 2015 financial metrics tracker, which can be accessed on our homepage, www.interdigital.com, by clicking on the link on the left side of the homepage that says, "Financial Metrics Tracker for Q4 2015" With that taken care of, I will turn the call over to Bill.
Bill Merritt: Thank you, Patrick. Good morning to everyone. As you saw in this morning’s release, we delivered another very strong quarter and a very strong year, which we get into the number in more detail, but the combination of a continued strong top-line and dropping expenses demonstrates the underlying strength of our business model and skills which we are executing against it. A couple of points to note for the quarter, first, with recurring revenue at $93 million and that number not include any contribution from Huawei we remain very comfortable that our wireless terminal unit business can reach an annual royalty platform of $500 million $600 million based on the existing agreements and the additional licensing opportunity ahead of us. We also believe, we can get to these revenue numbers without incurring increased expense, and when you combine that revenue growth with stable expense, you have a great opportunity for shareholder value creation. Where exactly will that revenue growth come from? Well, unlike many businesses, that we would have to chase a large number of customers to drive that level of growth, we have to succeed in licensing with a handful of major names such as LG, ZTE, Lenovo, Xiaomi and Apple. We are seeing progress, so we appreciate [ph] the licensing to be challenging at times. We have shown over last 20 years, our ability to get difficult deals done and we are confident that we can work these opportunities as well leveraging the strength of our patent portfolio and other tools at our disposal, such as the ability to use the exchange with patents as consideration, the ability to conduct research for customers and the opportunity to work with customers on some of our pre-commercial product offers. Indeed, it is these tools and our flexibility and creativity that often sets us apart from other licensing companies. We have also been meeting with investors to begin to frame out the additional growth opportunities we have beyond the one I just talked about. I think each is are exciting and they fall into three categories. First is just market growth of our core business. The bulk of our revenue today essentially comes from LTE-enabled devices with a good portion of that coming from agreements that are volume-dependent. Annual LTE handset volume growth remained very strong by some projections roughly 15% per year. That means assuming our per unit based licensees experience that level of growth, we should see some nice incremental gains in our revenue without any increase in our cost. Third growth factors relate to IOT. Since there are two areas of growth that we are focusing on, the first is the connection side of IOT, basically all the wireless devices that will be deployed in automobiles, [ph] and other data producing things. The beauty of this opportunity is that it is a natural extension of our existing licensing program, as it will rely on the same research and the same patent portfolio. In fact, the opportunity comes at no incremental cost. In terms of the addressable market, there are many different estimates being made in terms of the overall quantity of IOT-enabled shipments in a year and the mix between cellular and non-cellular devices. While the estimates vary, the annual shipments tend to count in the billions. IHS, a major analyst firm projects that shipments of IOT-connected devices will exceed 12 billion per year by 2019 and close to 2 billion of those are projected to be 3G and 4G devices that leverage our core connectivity areas. This means, there is a significant opportunity for meaningful revenue growth that we can pursue without incurring any significant additional cost, except taxes. That translates to even greater growth and profitability. IoT also brings a new opportunity in terms of what we refer to as a services and application layers. The beauty of IoT is not simply having data producing devices send information back to some collection point. The beauty of IoT is creating an environment, where all of that data can be accessed, mined, manipulated, aggregated and compared to greatly enhance current services, but more importantly create brand-new services. We have made a significant investment in the platforms like oneMPOWER wot.io that will create the architecture needed to facilitate these new services. In recognition of the significant opportunity that this represents, we have consolidated all of these activities and the renew business unit at the Company led by Jim Nolan, a long time InterDigital veteran. Jim has over 20 years of experience in wireless is the driving force behind the Convida relationship with Sony. This new business unit has the opportunity not only to drive a new patent licensing business for the company in this space, but also to build a vibrant commercial solutions business around the assets of the Company. Indeed on the solutions side, we already have customer traction with Sony and others and are looking to this year to expand our customer base. The purpose of these engagements is to refine the platform, drive the adoption of the underlying standard and to position the business for solutions revenue growth in future years. So far, they are executing on plan. All-in, business continued to perform very well. We have an exceptionally strong financial base, very strong opportunity to drive significant near-term revenue and profit growth and we have longer-term growth opportunities that are significant and equally important aligned with our core skills and we are pursuing those opportunities with the same high margin operating model that we employ today. With success, we can materially grow our profit and our value all for the benefit of our shareholders. Let me turn the call over to Rich.
Rich Brezski: Thanks, Bill. 2015 has been another strong year for InterDigital, and we are very happy to end it on an equally strong note. Fourth quarter 2015 marks our fourth consecutive quarter with more than $100 million in revenue. More importantly, in fourth quarter 2015, we continued the longer-term trend of increasing our recurring revenue with only modest increases in our operating expenses. In fact, year-over-year, our fourth quarter recurring revenue is up 9%, while our pro forma operating expenses are basically flat. Looking at full-year 2015, our recurring revenue is up $84 million or 29%, while our pro forma operating expenses are up only #5 million or 3%. Said differently, our recurring revenue from 2014 to 2015 has increased nearly 17 times the amount of the increase in our pro forma operating expenses over the same period. As we head into 2016, we are pleased to report guidance for first quarter revenue of between $99 million and $102 million, which is currently comprised entirely of recurring revenue. Looking beyond the first quarter, there are a couple of things to keep in mind. First, the fact that our per-unit revenue has become a substantial portion of our overall revenue means that our customers' new product launches have an increased impact on revenue. Our first quarter guidance reflects the positive impact of that cycle. However, absent new agreements, some decline in recurring revenue from first quarter 2016 to second quarter 2016, would be the natural and consistent with prior years'. Second, as is always the case, our revenue guidance does not include any potential new agreements or audit settlements we may sign during the quarter. This is based on the simple premise that we cannot predict the specific timing of such events. Nonetheless, we will continue to work to resolve disputes and add to our customer base. Additional progress in licensing, together with maintaining a relatively flat cost structure continues to offer the most immediate potential to increase value for our shareholders. Now, let me update you on our recent progress in returning cash to shareholders. I am proud to announce that recent share buyback activity has resulted in our Company on a cumulative basis, having bought back over one-half the number of shares of the Company's common stock that have ever been outstanding. While it might be more meaningful, that we repurchased approximately 25, million in shares year-to-date in 2016, this is still a monumental achievement that speaks to InterDigital's long-term commitment to shareholder value. With roughly $125 million left on our authorization, we expect to continue our focus on buyback activity over the balance of this year. With that, I will turn the call back over to Patrick.
Patrick Van de Wille: Thanks, Rich. Denise [ph], I would like to now open the call for questions.
Operator: Certainly [Operator Instructions] We will go ahead and take our first question from Darrin Peller. Please go ahead. Your line is open.
James Berkley: Hi, guys. How are you doing? Congrats on the quarter this is James for Darrin. Just wanted to start off by asking a quick question on, obviously, you guys came in ahead of your expectations on the top-line. Just real quick what drove that? Then if you could also just comment on the $2 billion to $3 billion by 2019 of connected I believe the shipment that you were talking about, potential shipments. If you could try to quantify that in terms of, just give us an idea of how we can try to back into the revenue opportunity there?
Bill Merritt: Okay. I will let Rich address the revenue and then I will come with respect to the second question.
Rich Brezski: Yes. James, during the quarter, we had a resolution of our new agreement with Kyocera that we announced. I think we actually updated our guidance after that. In addition, there was a resolution with a technology solutions customer on an outstanding amount that had been due for a number of years and was not fully recognizing in revenue. Between those two items and the strong performance of our existing licensees, we are able to deliver a very good quarter on top-line.
Bill Merritt: James, with respect to the opportunity on the IoT connection side, so there are number of estimates out there and we are not here to tell you any one is right versus another, but this particular one has a significant amount of total connections 12 billion or so, which 2 billion to 3 billion is cellular, so a couple of things to think about in terms of the revenue opportunity for us and this is one thing we are going to be working on during the year in terms of beginning to frame out this opportunity a little better, so people know what we are chasing. The first question is going to be the overall amounts of IoT connections, and I think, every estimate you look at, it is very, very strong, so that is not something that there is a lot question about it. You said it will be in tens of billions, those numbers. Next one is the one where there a little bit more uncertainty and that is what is the mix between cellular-based connections and Wi-Fi and other base connections. This one has a relatively low mix I would say in terms of the cellular mix. I have seen other estimates that are higher. Certainly, while we have patent portfolio that can address the full set of connections, our position is stronger today with respect to cellular. There is a lot of work going on in the standards bodies to create an IoT based standard for LTE, which basically strips out a lot of the functionality and reduce the cost. I think if we are successful in getting that, standard done and deployed, the actual, cellular number can go up a fair amount, but cellular has the distinct advantage of universal coverage, right? You do not need to be in a Wi-Fi hotspot, so I think with that 2 billion to 3 billion my view is probably on the light side and I think there can be bigger if we can have some success in standardization there. In terms of the overall revenue opportunity for the company that is the one that they were going to frame out during the course of the year. I think when you are talking about units and these numbers; these are obviously low-priced units. These are things that are ranging from $1 to $10, higher end stuff probably in cars, the lower end stuff in FedEx boxes and things like that. While the royalty burden as a percentage of the device maybe in the same range as it is today in the aggregate, so the aggregate number is out there. You - 10% royalty burden roughly maybe a bit lower than that and we get our piece of that. That is going to be on a lower price point, so as I said we will put some better boundaries around this number as we go forward. I would say that I still think it is going to be a meaningful revenue number. The other important component though is it comes at no cost, so essentially whatever that revenue number is, strip out the tax and it drops right to the bottom-line, so as a percentage gain on the bottom-line it could be obviously even more meaningful than that. More detail to come on this as we work the numbers.
James Berkley: Thanks. Sounds like a great opportunity to look forward to seeing a little more detail on that. Just switching gears real quick, could you talk about oneTRANSPORT a bit, what InterDigital Europe is doing in the U.K. to help improve transport, [ph] the longer-term path, rough timeline to monetization there as well, and maybe just like the opportunity presented by so-called smart cities in general just to give investors a better idea of the work going on over there?
Patrick Van de Wille: Well, this is Patrick Van de Wille. I can address that question. To a certain degree, although I am far the technical expert that our oneTRANSPORT folks are, but basically oneTRANSPORT is a collaborative research project. There is about 10 consortium partners who are working with a couple of metropolitan areas in the U.K. to integrate transit and transport systems. It is really a case study for the value that our oneMPOWER platform can bring to a situation where you have got all of these different areas of transportation, they are beginning to be connected, but they are all connected using technologies that are specific to the type of transportation system that they are our oneMPOWER platform is able to bring them all together and combine into a whole which allows the Metropolitan area to then monetize that data. Either sell it to analytics firms, sell it to shipping companies and find a way to take an asset which is the data related to the transit systems and new transportation infrastructure and monetize that in a meaningful way, so that the project that got going me in the fourth quarter of last year and interestingly you should bring it up, because we are going to be demonstrating our progress on oneTRANSPORT at Barcelona at Mobile World Congress next week. Very important demonstration for us with our consortium partners and I think it also speaks to the role that are InterDigital Europe office is seeing in London, where they are getting really key roles on a number of different collaborative research projects, whether it is 5G research, whether it is M2M and transport and even helping the European commission identify the sociological impact of 5G our InterDigital Europe office in London has done a tremendous job of involving the company in these project that drive our intellectual property, drive our key role in some of these standards as well.
James Berkley: Then just lastly guys, Bill you called out some of the top opportunities whether it is Lenovo, LG, Nokia, Apple etcetera and just touching on how you could get to that $500 million to $600 million and the confidence you have there, would you mind now just diving a little bit into each of those opportunities for everybody and just breaking out maybe any major events that you see on the horizon for next year and how you feel about each opportunity in general.
Bill Merritt: I will pretty short, which is great and actually one of them is a little bit different and that is fine for us, because we actually have a pretty flexible program and we can bring different tools to bear with respect to each of those, right? If you think about ZTE, to some degree, I think it is going to be driven by the Huawei result, so we had some good progress in terms of the Huawei, at least the litigation side moving forward there, so I think with ZTE, we have a lot of the options that I talked about in terms of the ability to do research, exchange patents and bunch of other things. I think if we can take advantage of successful result with Huawei, I think that is what helps, that one alone. Also, we also have some litigation underway with ZTE as well, so and discussions, so there is a fair amount of stuff going on with ZTE. Lenovo, somewhat similar to ZTE in terms of the relationship in China that I also think probably a greater opportunity for research and patent exchanges and things like that, so that is another opportunity for us to leverage the various tools we have in the company and chatting with them as well. Xiaomi probably takes that and takes it up another notch, right? Xiaomi's designs are moving outside of China as we have talked about this before. Their first entrée into India did not go well mostly because of lack of licenses and patent coverage. They talked about the need to build a portfolio, so you chatting with them as well about in terms of how we can help them do that, how we can help them in direction back to that how we can help you in research and a bunch of things. LG, I would say a little bit different in terms of the tools that we would use with them, sort of; it is actually joint research is an opportunity with them. Last year, we successfully concluded the 3G arbitrations, so I think we got that out of the way. I think there is opportunities with them to do some other collaborative items as well. Again, a little bit different than the first three we talked about. Then Apple is really there, we are just talking about the Apple ecosystem, so we have got a good portion under license with them, with Pegatron and some of the other time with your supplier, so we are talking about some increment of their production. They recently concluded a deal with Ericson. I would say that that deal was consistent with the licensing practices that we have and others have engaged in for years and years, which is portfolio license, comprehensive license different than what Apple talked about in terms of when they talk in litigation about patent-by-patent, country-by-country. I think it shows that Apple has a business position and a litigation position and they are not the same, not unusual, so I think that there are opportunities with them. I think with Apple though we can be patient, because we have added pretty good position with respect their suppliers in and there are things that we can do with their suppliers without actually having fully addressed, so that gives us another option with them as well.
James Berkley: I said thank you, I will turn it over.
Operator: Thank you. [Operator Instructions] We will go ahead and take our next question from Charlie Anderson. Please go ahead. Your line is open.
Charlie Anderson: Hi, Dougherty & Company. Thanks for taking my questions. With Barcelona coming up next week, I imagine we are going to start to hear more about what operators are thinking about 5G I know that is way far in the future, but I wonder to what degree is it influencing licensing discussions you are having now and does it help move things along or does it stall things as people are looking for the trajectory of where 5G will land, any color that would be helpful.
Charlie Anderson: I would say [ph] have than big influence on discussions today. I think the only thing that you will observe is, I think it is two pieces. One, the fact that there is an opportunity right now to create intellectual property relevant to 5G, to the record of front end, have a new standard with a lot of things that need to be done. That a really good opportunity for us to in fact sell to sell the research, because the fruit to that research will be very really valuable in terms of patents and people are looking for protection. If you look at for example the Sony renewal, there was a piece that around 5G, so I think the urgency. I mean, there is only a certain window of time in that you can break this intellectual property, so that research sells with a certain period of time, so the urgency is on us to get people, but the urgency will also be on the other side to engage with us to not miss that opportunity, so I think it helps there. I think in terms of just overall perception of the Company, you know, fact that we continue to be a strong participant and standards bodies continue to have our leadership position just reemphasizes for folks that we are a continuing player here, strong player here and that is always helpful from a licensing perspective as well.
Charlie Anderson: Got it. Two questions for Rich. I was wondering, first off, we think about OpEx non-litigation, Bill talked sort of a flat OpEx environment. Does that pull through into '16 or are we going to see any moving parts there. Then secondly, you guys report royalties and arrears, so you are sort of trailing what is happening in smartphones right now terms of volumes. I wonder as you think about your current royalty base, what are sort of the pluses and minuses as we think about the next few quarters beyond March in terms of who is going up, who is going down. Thanks.
Rich Brezski: As you know, Charlie, we do not provide specific expense guidance for going into the next quarter, into next year. Having said that, we have been pretty consistent and I think you comment on the script today that we believe that we can kind of maintain a relatively flattish operating expense going forward and really I go back to the metric that I like to look at which is our pro forma OpEx, which is located on financial metrics that does adjust for things like litigation that otherwise would affect period-to-period comparisons. When we need to make an investment in litigation, we are going to make it, so I want to make sure that we are looking at our operating expense base, excluding those kind of separate decisions, so hopefully that answers your question on expenses. With respect to the quarter lag that we will report on, that also came up in the script, because it was really second half product introductions that helps to drive good results in Q4. For our pre unit licensees, that was their underlying sales in Q3. We also issued what I believe to be strong guidance on revenues for Q1 based on these licensees' underlying sales in Q4. Having said that given our second-half '16 introductions and the way these product cycles work, we would anticipate some drop-off in kind of same-store sales if you will going from Q1 to Q2 as the product cycle gets a little bit further on and people start to think about the next launch whenever that maybe.
Charlie Anderson: Great. Thanks so much.
Operator: Thank you. [Operator Instructions] We will go ahead and take our next question from Eugene Fox. Please go ahead. Your line is open.
Eugene Fox: Thanks, gentlemen. A couple of questions for Rich to start with, I guess the converts come to in April. Can you talk about sort of the impact of paying those converts off?
Rich Brezski: Yes, so it has actually come in due in March, mid-March, I believe.
Eugene Fox: Okay.
Rich Brezski: Really, we do not see it as being an event with a tremendous impact as you know, Gene, we issued a new convert around this time last year effectively prefunding the upcoming majority of the [ph] security so we are well-funded, we have a very strong cash position and by kind of prefunding that given the market conditions that existed last year. It allowed us to kind of continue on our buyback trajectory here, so we are pretty pleased with where we sit there.
Eugene Fox: I guess related to that, Rich, I would assume you lose there about 2.2 of non-cash interest or just does not have any impact on your diluted per share number or number of shares?
Rich Brezski: Dilute per share number, no. The conversion price based on where we are today is a good bit above our current trading price. Based on kind of trading range we have been in, there should not be any impact there.
Eugene Fox: Okay. Rich litigation expenses were down about $20 million year-over-year, is there any reason that we know of today why that number would move significantly in either directions in '16?
Rich Brezski: Yes. So litigation expenses as you noted are down. They have been kind of trending down all year and we are certainly pleased about that. Our preference is to resolve new agreements without the need for litigation. We would rather invest in our customers and find better ways to work with them. They are going to have to litigate. Having said that, at some point if things are not progressing the way that we liked, litigation as we always said puts a timeline on these negotiations, so I cannot sit here today and tell you that it is going to be at the same level or higher. It is one of the reason, we do not give expense guidance, because that is going to be depend on how things play out. I certainly can tell you that our preference remains to find ways other than litigation to resolve.
Eugene Fox: Okay. Bill, I guess a couple of days ago according to K, there is a stay in the New York arbitration assuming the folks at Huawei want to put up the amount of the final award. I assume they will do that, but do not know that and we have a date of March 8th in Paris. Could you give us a little sense for how at least the Paris part of the arbitration is likely to play out?
Bill Merritt: I understanding that there will be the argument in March and the court earlier issued it decision roughly as a month or so after that, so that will move along pretty quickly with. We think we are very well positioned in that case. As we said all along, we arbitrational awards are very well-positioned in that case as we have said along arbitration awards are very difficult to append for a lot of good policy reasons, so the standard is set very high in terms of what the other side needs to prove. I think the proximity of the Paris hearing to the New York proceeding, I think was one of the reason - mean I know this, because I have been - I am not the judge. I think the judge is being practical in New York and said it going to happen in a month in a month, right? I think the fact the condition to stay on Huawei posting upon, I think was a very good signal and obviously puts us in a position as we can otherwise resolving that with Huawei. We will have certainly [ph] which is great bonds also were not free there. There is a fairly stiff cost to a bond and that creates I think more incentive for Huawei to continue discussions with us, so no surprises in terms of what is going on. Frankly, I would say a little bit maybe a positive surprise in terms of the bonds requirement in New York that will be helpful for us.
Eugene Fox: Bill, if you get a successful outcome in Paris, Is there a reason why you would need to pursue the New York or is that just in case something does not happen in New York according to plan?
Bill Merritt: I think, we have a couple of options at that point. I think the New York judge obviously has invited the parties' comeback there post French decision and with respect to enforcement there will be a bond out there for a payment. I think, it gives us another venue and it is a local avenue for us to secure payment and you would have the French courts as well, so some of the situations we are having a couple different tools that are disposable I think it is [ph].
Eugene Fox: Last question, I guess, this is for Rich or you Bill, you guys did not buy much stock back in the fourth quarter, but you have bought a reasonable amount in the first 45 days of the year. Is the pace more a function of your ability to buy in terms of when you are in discussions it becomes problematic or how should we think about pace. I know you try to be opportunistic?
Rich Brezski: Yes. I think certainly we do try to be opportunistic, but when I said when you think about the pace, again I always like to direct people to the longer-term trends here. You noted at least one factor and that is when you have open windows getting into another plans and so forth, so those things are not always visible to everyone else and it definitely does impact our pace of activity at times. There are other factors as well, but what I prefer to focus on is our long-term trend and we are very happy with what we have been doing there.
Eugene Fox: Last, your tax rate was low. I assume that was R&D tax credit, so we should still plan for, call it, 35.5% or 36% tax rate going forward?
Rich Brezski: Yes. I think it was even a little bit lower last year, because the R&D tax credit was for a multiple year period, but they now have the permanent extension on the R&D credit, so pleased to see that. I think that our tax rate is probably in about the right place at least for the time being.
Eugene Fox: Thanks. That is all I got.
Bill Merritt: Thanks, Eugene.
Operator: Thank you. We will go ahead and take our next question from Matthew Galinko. Please go ahead. Your line is open.
Matthew Galinko: Hey. Good morning, guys. A quick question on the IoT piece, you mentioned you are consolidating some of those efforts under sort of one piece, so can you talk a little bit, again, sort of what is coming under that initiative and I guess what is the impetus behind it?
Rich Brezski: What is coming under that initiatives is basically everything about the connection level, so if you think about the connection level, that is going to stay within the lowest business unit, because it leverages the exact same patent portfolio of the LTE and 3G patent portfolios and the licensing program and the customers are pretty much the same with respect to the folks in the wireless business addresses. The IoT solutions business unit, again, again address as same as about the connection level, so this is the application enablement platforms and service layers platforms, it combines the oneMPOWER platform that we had with the company, the Convida joint venture will be part of that, the management of that would be part of that business unit. The wot.io business as well part of that group as well, so it is again dealing with everything from a services and application enablement perspective. That is a different pattern portfolio at the company, so address different things. The customer base is different, so you are not always dealing with the connection folks. You are dealing with the people who provide those platforms or the people who make use of those services and that can be a whole range of people, because there is a whole range of verticals here that will benefit from these technologies, so whether it is a transportation vertical and industrial vertical or agriculture vertical, their business itself will be a little bit different than the wireless business unit and that I think this business unit has a stronger opportunity to be both, a combined patent licensing business combined with the solutions business. We have done a lot of work on both of the platforms that we have in the market today both, wot.io and oneMPOWER. I think patent portfolio is an important piece of this. I think it will help be a driver for the solutions business. They have customers to-date for the platforms. As I said in my script, we are not really looking at them as big revenue for business this year. It is more getting the platforms stable, getting the technology evangelized, getting customers in place and basically channels partners in place to drive revenue growth in the next number of years. I have also mentioned, we are going to do some work over the course of that next two month to not only frame out the wireless connections value, what we think that maybe worse, so people can begin to measure us against that, but also start to build a model, responding model - we have a model with respect to this business at these upper layers and also let people know what we think that opportunity is and what the milestones are and ultimately what the goals is for those businesses.
Eugene Fox: Great. Thank you.
Operator: Thank you. That does conclude the question-and-answer portion of the program. I will now hand it back over to the speakers for any additional or closing remark.
Rich Brezski: All right, Denise [ph]. As many of you know, our fourth quarter investor call generally coincides with a special time in our industry, which is Mobile World Congress in Barcelona, which is our industry's biggest tradeshow. This week, we made some announcement about some of the 5G and IoT technology that we will be showing there, including some really groundbreaking 5G technology. This year for the first time, we will be taking advantage some of that technology that we hope to create to do a live stream tour of our booth for investors and other stakeholders. I will be hosting the live stream and then we features some of our leading engineers and scientists in various areas. The live stream is scheduled for Tuesday, February 23 at 3:30 pm Central European Time, which is 9:30 AM Eastern, and a replay will be available on our website, so please visit the company's website at interdigital.com for more information and details on how to view the demos. Thank you all and I hope you tune in next week. See you next quarter.
Operator: That does concludes today's conference. We would like to thank you for your participation. Have a wonderful day. You may disconnect at anytime.